Operator: Good day, ladies and gentlemen, and welcome to your NewMarket Corporation Conference Call and Webcast to Review First Quarter 2021 Financial Results. All lines have been placed in a listen-only mode. And as a reminder, today’s call is being recorded. At this time, it is my pleasure to turn the floor over to your host, Brian Paliotti. Sir, the floor is yours.
Brian Paliotti: Thank you, Melinda, and thanks to everyone for joining us this afternoon. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, we may also discuss non-GAAP financial measure included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. We filed our 10-Q this morning. It contain significantly more details on the operations and performance of our company. Please take time to review it. I will be referring to the data that was included in last night’s earnings release. Net income of $69.7 million or $6.38 a share compared to net income of $85.5 million or $7.67 a share for the first quarter of last year was our performance. Petroleum additives net sales for the first three months of 2021 were $564.9 million compared to $557.4 million for the same period in 2020 or an increase of 1.4%. Sales increased about $8 million mainly due to a 2.6% increase in shipments, with increases in lubricant additive shipments partially offset by decreases in fuel additive shipments. All regions except for Europe contributed to the increase in lubricant additive shipments, and Asia-Pacific was the only region reporting an increase in fuel additives shipments. Petroleum additives operating profit for the quarter was $94.1 million lower than the first quarter operating profit last year of $113.7 million. This decrease was mainly due to the lower selling prices and higher raw materials and conversion costs, partially offset by increased shipments. The operating margin was 15.6% for the rolling full quarters through the first quarter of 2021. Margin improvement will continue to be a priority in 2021, as we see continuing upward pressure in our raw material costs. During the quarter, we funded capital expenditures of $20.5 million and paid dividends of $20.8 million. In March, we also issued new 10-year $400 million bond, pre-funding our current $350 million bonds that come due in the fourth quarter of 2022. We continue to operate with very little leverage with net debt to EBITDA ending the quarter at 1.1 times. For 2021, we expect to see capital expenditures in the range of $75 million to $85 million. I’d like to thank everyone for joining us on the call today. We hope you’re all healthy and staying safe. We appreciate your support. And so we’d like to say thank you to our employees, customers and shareholders, all for what you do and while we expect another challenging year ahead, we continue to see a bright future ahead for our company. Melinda, that concludes our planned comments. We’re available for questions via email or by phone. So please feel free to contact us directly. We thank you all. And we’ll talk to you next quarter.
Operator: Thank you. This does conclude today’s teleconference. We thank you for your participation. You may disconnect your lines at this time. Have a great day.
Operator:
Q - :
 :